Operator: Good morning, everyone and welcome to The Hershey Company's Fourth Quarter 2016 Results Conference Call. My name is Keith, and I'll be your conference operator today. All participants have been placed in a listen-only mode. After the speakers' remarks, there will be a question-and-answer session. This call is scheduled to end at about 9:30 AM, so please limit yourself to one question so we can get to as many of you as possible. Please note this call may be recorded. Thank you. Mr. Mark Pogharian, you may begin your conference.
Mark K. Pogharian - The Hershey Co.: Thank you, Keith. Good morning, ladies and gentlemen. Welcome to The Hershey Company's fourth quarter 2016 conference call. J.P. Bilbrey, Chairman, President and CEO; Michele Buck, Chief Operating Officer; and Patricia Little, CFO will provide you with an overview of results which will then be followed by a Q&A session. Let me remind everyone listening that today's conference call may contain statements which are forward-looking. These statements are based on current expectations which are subject to risk and uncertainty. Actual results may vary materially from those contained in the forward-looking statements because of factors such as those listed in this morning's press release and in our 10-K for 2015 filed with the SEC. If you have not seen the press release, a copy is posted on our corporate website in the Investor Relations section. Included in the press release is a consolidated balance sheet and a summary of consolidated statements of income, prepared in accordance with GAAP. Within the notes section of the press release, we have provided adjusted pro forma reconciliations of select income statement line items quantitatively reconciled to GAAP. The company uses these non-GAAP measures as key metrics for evaluating performance internally. These non-GAAP measures are not intended to replace the presentation of financial results in accordance with GAAP. Rather, the company believe the presentation of earnings, excluding certain items, provides additional information to investors to facilitate the comparison of past and present operations. As a result, we will discuss fourth quarter results excluding net pre-tax charges of $148.9 million, or $0.62 per share diluted, which are primarily related to derivative mark-to-market losses. These charges defined in the appendix of this morning's earnings release, which is available on our website at www.thehersheycompany.com. Our discussion of any future projections will also exclude the impact of these net charges. With that out of the way, let me turn the call over to J.P.
John P. Bilbrey - The Hershey Co.: Thanks, Mark. Good morning to all of you on the phone and the webcast. And I apologize for my voice, as I'm fighting a head and chest cold. In 2016, we made progress against our strategic plans that strengthened our business model and positions the company for future growth. Our productivity and cost savings initiatives drove EBIT margin expansion in full year EPS growth of 7%, the midpoint of our long-term target. And we continue to generate solid operating cash flow, about $1 billion in 2016, which gives us a lot of financial flexibility. Looking at marketplace performance, our core U.S., CMG and snacks business progressed as we anticipated. Retail takeaway and market share performance in the second half of the year was better than the first half of the year, which was impacted by shorter Easter and merchandising and display strategies at select customers. This resulted in full-year snacking market share growth of about 10 basis points. We also began a strategic review of our global cost structure that should result in solid margin expansion and EPS growth. We look forward to talking about our business in these plans in more details on the March 1 at our investor update. Let me now provide you with some detail on our fourth quarter results. Net sales and marketplace performance, both retail takeaway and market share, were relatively in line with expectations. Operating income and earnings per share diluted exceeded our forecast, driven by the early implementation of some cost savings efficiencies and a lower-than-expected tax rate. Patricia will provide you with more details on this in just a bit. As we anticipated, U.S. marketplace performance sequentially improved. Total Hershey U.S. retail takeaway for the 12 weeks ended December 31, 2016, within the xAOC+C channels increased 2.2%. This represents all Hershey snack products sold at retail such as candy, mint, gum, salty snacks, Krave and snack bars. Importantly, Hershey's U.S. CMG, that's candy, mint and gum, retail takeaway increased more than three times the rate of the category, driven by chocolate and was up 1.9%. Our fourth quarter U.S. chocolate performance was solid with retail takeaway up 2.9%, resulting in a chocolate market share gain of 0.9 points. Despite the slow start to 2016, we gained 0.4 points of chocolate market share for the full year. Our brands responded positively to the investments we discussed in July and October. Reese's, our biggest brand, continued to gain momentum driven by variety, news, core two-cup advertising and in-store merchandising and display. The Reese's Pieces Cup innovation, NCAA football, in-store merchandising and strong Halloween and holiday performance generated retail takeaway of 7.2% this quarter. Results were similar to last quarter and impressive, given that this is nearly a $2 billion brand at retail. In 2017, we'll look to expand and improve upon our NCAA basketball and football relationship via innovation and targeted 360-degree activation programs given the customizable promotional entitlements available to us with this sponsorship. We were also pleased with the Kit Kat franchise. Fourth quarter and full year retail takeaway of 5.5% was about the same for both periods, driven by the success of the Big Kat new product launch, as well as the core Kit Kat instant consumable item that benefited from TV and digital marketing programs such as Chance the Rapper and Kit Kat thief. In 2017, we'll continue to bring variety and news to the brand with limited edition red velvet flavor for Valentine's Day. The wafer sticks are not red like the classic southern cake, but the candy itself is red velvet flavored and coated in white cream. In the first half of 2016, The Hershey mega brand campaign didn't work as hard for us as we anticipated. However, in the second half of the year, results improved driven by Olympics, S'mores and seasonal programming. In the fourth quarter, Hershey's franchise retail takeaway increased low single digits on a percentage basis versus last year. The launch of Hershey's Cookie Layer Crunch is underway, and we believe this will reenergize the brand. While early results are encouraging, distribution continues to build and advertising is scheduled to begin in early February. As we previously have mentioned, our consumer demand for multi-textural eating experiences across various snacking occasions is increasing, and this product fills a white space opportunity. You'll see additional innovation in the marketplace this year that also delivers on a textural experience in Reese's Crunchy Cookie Cup and Hershey's and Reese's Crunchers. Our consumer research has indicated that millennials want new flavors and textures, especially the Reese's consumers. Reese's is the fastest growing largest instant consumable franchise, so we do a lot of work here trying to bring the right level of investment to the core two-cup and variety news to the brand. In 2017, we'll launch Reese's Crunchy Cookie Cup in an instant consumable pack type. Within the cup are cookie bits versus a solid cookie, which consumers told us was less intrusive in terms of texture. The result is a product that delivers on all the sensations consumers want: smooth, creamy, sweet and crunchy. And the Crunchers product line is targeted for that shareable snacking hand-to-mouth occasion, leveraging the appeal of sweet and texturally complex snacking. These light, crispy and crunchy combinations are a perfect bite-sized snack for a different and unique eating experience. So, we're making progress, but there's still a lot of work to do. We're not satisfied with our non-chocolate candy. In Brookside performance, the work is underway to improve their trends. Although it will be a multi-step process, we continue to believe that candy, mint and gum is an attractive category capable of solid growth over the long-term, when supported with the right mix of customer and consumer marketing. Now for an update on our international markets, where fourth quarter net sales growth was relatively in line with our expectations and up about 3% on a constant currency basis versus last year. I was particularly pleased with Mexico and Brazil, where we generated solid constant currency net sales growth. In Brazil, our growth was fueled by distribution gains in core brands and the continued rollout of the Hershey's Special Milk and Hershey's Special Dark bars, which was launched in Q3. As a result, in Q4, market share increased 0.5 points. And in our Mexican business, chocolates, spicy sugar, confectionery and drinks are tracking relatively in line with our initial plans. Our marketplace performance improved in the fourth quarter, with chocolate retail takeaway up about 9.5%. And our traditional trade initiative with Sigma is progressing, and we're gaining chocolate momentum driven by Kisses. Net sales in India, driven by the brands we're investing behind, Hershey's branded syrup, spreads and milk booster, as well as JOLLY RANCHER and Sofit, increased about 25%. Late in the fourth quarter, we launched Brookside, primarily in the modern trade where we don't expect much of an impact from demonetization. While small, this launch gives us exposure to a value-added segment with above average margins for the India business. In China, the modern trade hypermarket environment continues to be challenging across many categories. In Q4, China chocolate category sales declined about 4%, the same rate as the second and third quarter declines. Our Q4 net sales in China declined about 11% on constant currency basis, slightly lower than our estimate. Sell-in related to Chinese New Year drove Q4 net sales, and advertising and in-store programming occurred just as we had planned. Our e-commerce business continues to progress, and our market share here is estimated to be greater than our share in brick and mortar. Now, I'd like to pause briefly here to just say thank you. It's been an honor to lead The Hershey Company and these quarterly conference calls as Chairman and CEO. I'm so proud of our company and what we've accomplished. I've always appreciated the questions and feedback we've received on these conference calls, and in all of the various meetings that we've participated in with you. I've shared many of your thought-provoking questions and insights with my team, and I feel it's made me a better leader and Hershey a better company, so I say thank you. And now, I'm proud to turn the call over to Michele Buck. As we announced in December, Michele will become Hershey's 12th CEO on March 1, and I'm pleased to be staying on as Chairman. I know that many of you have met Michele and know her, and agree that she's an experienced executive with excellent operating, marketing and strategic capabilities. Now, let me turn the balance of the call over to Michele.
Michele G. Buck - The Hershey Co.: Thanks, J.P. I am very honored that on March 1 I will become the next CEO of The Hershey Company. As you know, Hershey is a special company with great brands, people, capabilities and processes. Combined, these attributes make up a business that over the long-term has delivered sustained results and will continue to do so going forward. We've a team of remarkable employees who come to work every day with a sense of purpose, fostered by our Founder, whose values and legacy are still part of our culture. This has served the company well and resulted in solid financial and marketplace returns. I want to say a special thank you to all of our colleagues across the business, many of whom listen in to this call. I believe it's their passion and dedication, along with our strong brands, advantaged retail sales presence and supply chain capabilities that will contribute to our further success. I was pleased with the progression of our business in 2016. After a challenging start to the year, we did not lose focus. We executed against our plan, and we gained momentum as the year progressed. As we look to 2017, I'm excited about our innovation, our activation plans for Hershey's Cookie Layer Crunch and the investments we're making in expanding the Reese's franchise. The targeted and precision-based approach we've taken to growing Reese's with the Crunchy Cookie Cup and into the hand-to-mouth snacking area via the Crunchers product line will provide incremental growth to our business. I'm also pleased with our balanced approach to marketing mix as it relates to trade and advertising. We're continuously improving analytics to enable us to further optimize investments within these two areas, and we'll see some of the benefits of this in 2017. As we've mentioned before, we started to take a fresh look at our business operations and our investment choices in 2016, and we'll share more about this in March. The goal of these margins for growth efforts is to improve overall margins, particularly in our international and other segment. We expect that this will be a multi-year program, enabling us to achieve strong margin and EPS growth in 2018 and 2019, and provide us with the fuel to deliver consistent annual net sales and EPS growth post implementation. The impact and benefits related to these efficiencies in 2017 is modest, given that we accelerated some of the non-restructure related work into Q4. This enabled us to deliver additional operating income growth and margin expansion earlier than planned, resulting in full-year EBIT margin of 20.4%, about 30 to 40 basis points greater than what we had anticipated. We're focused on EBIT margin expansion and expect that it will expand again in 2017, although the gain may not be as great as it was in 2016 as a portion of the savings are being reinvested back into the business. We believe the investments we're making this year are in areas of the business that set us up for continued growth over the long-term. Investments are underway in IT capabilities and additional analytic approaches that will enable operational effectiveness and efficiency, and be a differentiator in the marketplace over the next few years. I'm also excited about the concepts we're testing related to the commercialization of our integrated demand landscape. I look forward to discussing all of this and our long-term vision with you on March 1. I want to underscore my optimism about Hershey's future. We have many opportunities to leverage our globally recognized brands, our capabilities and our U.S. scale. I couldn't be more excited to lead Hershey into the future. I look forward to continuing to work with all of you, as we focus on building value for all Hershey's stakeholders. I'll now turn it over to Patricia who will provide you with details on our financial results.
Patricia A. Little - The Hershey Co.: Thank you, Michele. Good morning to everyone on the phone and on the webcast. Fourth quarter net sales of $1.97 billion increased 3.2%, in line with our forecast. Adjusted earnings per share diluted came in at $1.17, an increase of 8.3% versus last year, greater than our estimate due to savings from our continued focus on our cost structure and 110-basis-point decline in the adjusted tax rate. Excluding the negative impact from foreign currency exchange rates of 50 basis points, net sales increased 3.7%. Net price realization was relatively in line with our estimates at a 60-basis-point headwind, primarily due to higher levels of trade and merchandising activity related to our core and seasonal businesses as well as new products. Volume was up 3.4 points, driven by our performance in the U.S. Acquisitions were a 90-basis-point benefit due to barkTHINS, which we acquired in second quarter. By segment, fourth quarter North America net sales increased 3.8%, driven by a 4.1-point contribution from volume. Acquisitions were a 1-point benefit, and net price realization a 1.3-point headwind due to planned higher levels of direct trade supporting increased in-store merchandising and display activity, new products and seasons. Our U.S. seasonal business was relatively in line with our expectations with Halloween and holiday market share up 30 basis points and 25 basis points, respectively. Turning to the international and other segment, excluding the negative impact from foreign currency exchange rates of 3.2 points, net sales increased 2.7%. Volume was off 10 basis points, as solid Latin America, India and select export market performance was offset by lower sales in China. Net price realization was a 2.8-point benefit, as direct trade and returns, discounts and allowances in China were lower. Turning to margins, adjusted gross margin declined by 50 basis points in the fourth quarter, as productivity and cost savings were offset by unfavorable manufacturing variances, the aforementioned unfavorable trade rate and slightly higher supply chain costs driven by initial year absorption of overhead related to the Malaysia manufacturing facility. For the full year, adjusted gross margin declined about 40 basis points, relatively in line with our original plan. We have good visibility into our 2017 input cost basket and don't expect inflation. Additionally, we have productivity and cost savings initiatives in place that should enable adjusted gross margin expansion of about 15 to 25 basis points in 2017. Adjusted operating profit in the fourth quarter declined half a point. As expected, advertising and related consumer marketing expense increased in the fourth quarter of 2016. Selling, marketing and administrative, or SM&A expenses, excluding advertising and related consumer marketing increased 6.6% in the quarter, driven by higher employee-related costs and increased depreciation and amortization. Note that this includes SM&A related to the barkTHINS acquisition. Unallocated corporate expense increased 11%, or $12.6 million, as efficiency and cost savings initiatives were offset by higher employee-related costs and an increase in corporate depreciation and amortization. As we've stated throughout most of 2016, we're focused on our cost structure. We're instilling an ROI mentality to ensure that every dollar we spend works as hard for us as it can. As a result, in the fourth quarter, we generated about $20 million in efficiency savings related to the margin for growth initiative. This enabled us to partially offset higher levels of trade, benefits inflation and other employee-related expenses, as well as manufacturing variances in overhead. As a result, full-year adjusted EBIT margin expanded 40 basis points to 20.4%. Now, let me provide a brief update on our international and other segment. As J.P. stated, we're executing against our plans in the key markets of China, Mexico, Brazil and India. Constant currency net sales in Mexico, Brazil and India increased nicely. Adding to his commentary on China, overall CPG performance in the modern trade is not where we thought it would be. As a result, many categories were sluggish, including chocolate where the category declined about 7% for the full year. As expected, our China gross sales declined in the fourth quarter. Given the soft retail takeaway in the quarter, net sales were slightly off versus our previous forecast. While our Chinese New Year sell-in was good, we'll have to wait until sell-through data is available to determine our net seasonal results. For the full year, excluding China, international and other segment operating profit increased nicely, and I'm pleased with the progression. As we mentioned last quarter, as we look ahead we're committed to profitability in this segment. Moving down the P&L, interest expense of $23.4 million increased $4.2 million versus last year. For the full year, interest expense was $90.1 million and in line with our estimate. In 2017, interest expense is expected to be in the $95 million to $100 million range. The adjusted tax rate for the fourth quarter was 28.2%. The decline was due to the mix of fourth quarter international operating results and increased favorable tax credits and other incentives, including research and development. The full year tax rate of 31.3% was about 90 basis points less than our expectation of about 32.2%. In 2017, the company anticipates its effective tax rate will be between 28.5% and 29%. The reduction versus 2016 is driven by favorable international taxes, investment tax credits and other incentives as well as a 75-basis-point benefit to the tax rate from the adoption of Accounting Standards Update 2016-09 for the accounting of employee share-based payments. The fourth quarter other income and expense amount of $7.5 million was primarily driven by investment tax credits. In 2017, we'll continue with this strategy and estimate that the investment tax credit expense will be in the $45 million to $50 million range. For the fourth quarter of 2016, weighted average shares outstanding on a diluted basis were approximately 213.9 million shares, down 4.6 million versus last year, resulting in adjusted earnings per share diluted of $1.17 or an increase of about 8.3% versus a year ago. Turning to the balance sheet and cash flow. At the end of the fourth quarter, net trading capital declined by $71 million, accounts receivable was lower by $17.7 million and remains extremely current. Inventory was lower by $5.3 million and accounts payable increased by $48.3 million. Total capital additions, including software for the fourth quarter and full year, were $101 million and $269.5 million respectively. For the full-year 2017, we estimate the CapEx will be in the $270 million to $290 million range. Total adjusted depreciation and amortization in the fourth quarter and full year was $67.3 million and $253.3 million, respectively. Dividends paid in the fourth quarter were $127.8 million. In the fourth quarter, the company did not repurchase any common shares against the $500 million share repurchase authorization approved in January 2016. There is $100 million remaining on this authorization. In the fourth quarter, the company repurchased $140 million of common shares in connection with the exercise of stock options. Cash on hand at the end of the quarter was $297 million versus year ago at $347 million. Now to summarize. Work related to the margin for growth program is progressing. As mentioned early, fourth quarter implementation of certain efficiency initiatives related to this work enabled us to exceed our profitability targets in 2016. Note that this is a multi-year program designed to improve overall operating profit margin through supply chain optimization, a streamlined operating model and reduced administrative expenses. However, the impact in benefits related to these efficiency initiatives and included in our 2017 guidance is modest as greater levels of savings and margin expansion is anticipated in 2018 and 2019. As J.P. and Michele summarized, in 2017 we have a lot of innovation, variety and seasonal plans in place. We'll benefit from a longer Easter and have good visibility into these orders. Additionally, Hershey's Cookie Layer Crunch is off to a good start. We continue to refine our marketing mix modeling and expect advertising and related consumer marketing expense to increase in 2017. And as Michele outlined, we're also making investments in other parts of our business. As a result, for the full-year 2017, we expect net sales to increase around 2% to 3%, including a benefit from acquisitions of about 50 basis points and unfavorable foreign currency exchange rates of about 25 basis points. As I stated earlier, we expect adjusted gross margin expansion of 15 to 25 basis points and the tax rate is expected to be lower than last year. As a result, our expectation is for 2017 adjusted earnings per share diluted to increase around 7% to 9% and be in the $4.72 to $4.81 range. Thank for your time this morning, and we'll now take any questions you may have.
Operator: Thank you. We'll take our first question from Bryan Spillane with Bank of America. Please go ahead, your line is open.
Bryan Spillane - Bank of America Merrill Lynch: Hey, good morning, everybody.
Michele G. Buck - The Hershey Co.: Good morning.
Bryan Spillane - Bank of America Merrill Lynch: And congratulations to you, Michele, and all of the best to you, J.P.
John P. Bilbrey - The Hershey Co.: Thank you.
Bryan Spillane - Bank of America Merrill Lynch: So, I guess maybe just one question, related to the operating leverage, I guess, in 2017. Can you maybe talk about in terms of gross margins with inflation being basically non-existent or commodity inflation being pretty benign this year, why there isn't more maybe gross margin leverage in this year? Is it trade spend or is there something else happening that's kind of holding back more a growth margin expansion in 2017?
Michele G. Buck - The Hershey Co.: Patricia, why don't you take that one?
Patricia A. Little - The Hershey Co.: Yeah. Thanks for the question. Yeah, so as we said, we see commodity inflation is relatively benign as you said. Yes, we are continuing to invest behind our brand, our innovation, our seasonal activation. And so, we have pretty good visibility into our gross margin. We're also very focused as being a gross margin company. And I'm pleased that given the investments we're making in the brands that we do have leverage on that line.
Bryan Spillane - Bank of America Merrill Lynch: And, I guess, just as a follow-up. As we're thinking about your marketing spend or your investment this year, some of it happens at the sales line, and some of it's happening within marketing. Is that part of the way we should think about it?
Patricia A. Little - The Hershey Co.: Yes. I absolutely think about it that way. A lot of the work that we've been doing this year, and will continue into 2017, is really getting the balance of those different kinds of spend right. We have good capability improvements in both of those to make sure that we're putting the right – and Michele talked about this, the marketing mix model as well as some revenue management improvements in our capabilities to look at the way we spend our trade promotion.
Bryan Spillane - Bank of America Merrill Lynch: Okay. Thank you.
Operator: And we can take our next question from Andrew Lazar with Barclays. Please go ahead.
Andrew Lazar - Barclays Capital, Inc.: Morning, everybody, and congratulations J.P., and best of luck, Michele.
Michele G. Buck - The Hershey Co.: Thank you very much.
John P. Bilbrey - The Hershey Co.: Thank you, Andrew.
Andrew Lazar - Barclays Capital, Inc.: Quick question on EBIT margin expansion, or the outlook for 2017. I think, Michele, you said you expect some EBIT margin expansion, though, not necessarily at the rate that we saw in 2016. And, I guess, I'm trying to get a sense of whether that's a shift at all in thinking, maybe relative to last quarter. I think on the third quarter call, company was talking about top quartile performance on the top line, and I think from a profitability standpoint. And I guess, now – so it struck me maybe that you didn't necessarily view 2017 as a reinvestment year per se. And now it does sound like maybe you've got, Michele, some specific or discrete things that you want to reinvest in. So, I'm trying to get a sense of is that a little bit of a shift or maybe I'm reading that wrong. And if so, what are really those key items where some of that reinvestment has got to come into play?
Michele G. Buck - The Hershey Co.: Sure. So I'll take that first, and then if Patricia has anything she wants to add. As we think about our financial goals, clearly we want to be in the top quartile from a net sales perspective, net sales growth amongst the S&P food group. We're very proud of our EBIT margin, around 20%, certainly one of the highest out there. We want to continue to grow that. So, we want to be in the top quartile relative to EBIT margin.
John P. Bilbrey - The Hershey Co.: That's absolute.
Michele G. Buck - The Hershey Co.: The absolute, not the gross. So, we've some work to do, as others have focused on their EBIT margins to expand that and to get even more a higher rate there. As we think about the business versus Q3 when we spoke to you, I guess I'd say two things. First of all, probably the biggest change is, we really got an accelerated delivery of margin expansion. So, we had started a real focus on margin expansion across the company. And hey, our organization over-delivered versus our expectations. So, some of the margin expansion we expected we'd get in 2017, we actually got in 2016. Then on top of that, there are several areas that we do want to invest and are investing for future growth. One of the biggest areas is around technology in the new ERP system and enterprise connectivity, which we'll talk to you more about in March, as well as some marketing related expenses around the demand landscape, packaging, et cetera that you'll see in the marketplace.
Andrew Lazar - Barclays Capital, Inc.: Got it. Okay. Thank you. See you in March.
Michele G. Buck - The Hershey Co.: Okay.
Operator: And we'll take our next question from Alexia Howard with Bernstein. Please go ahead.
Alexia Jane Howard - Sanford C. Bernstein & Co. LLC: Good morning, everybody, and congratulations to J.P., and looking forward to working with you, Michele. So, can I ask about the outlook for commodity costs? We've obviously seen the cocoa price on the CME come down fairly substantially over the last several months. Is that going to benefit you in the near term, or are you hedged out for a couple of years as I think you've typically been in the past? How are you thinking about the commodity cost outlook at this point?
Michele G. Buck - The Hershey Co.: So, Alexia, if you look at us, we've got a pretty big cost basket of inputs, and certainly every year some are up and some are down. Definitely, we've seen cocoa prices come down. And the real goal of our commodity hedging program is to make sure that we don't have a lot of volatility in those input costs, because that makes it easier for us to manage. And I think that we stated before, we typically have between 3 months and 24 months of coverage for various raw materials. And so, drops that you see right now don't necessarily translate into the current year P&L.
Alexia Jane Howard - Sanford C. Bernstein & Co. LLC: Okay. Thank you very much. I'll pass it on.
Operator: Thank you. And next we'll go to David Driscoll with Citi. Please go ahead.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Great. Thank you, and good morning. And congratulations, Michele and J.P. Really appreciate everything over the years, and certainly with your role going forward, we hope to still continue to get to talk to you. I'd like to ask Patricia about the tax question, the tax rate. So, there is a lot of questions on this from clients this morning. And Patricia, is it just fair to say that the old guidance used to be like an ongoing rate of like 33%, and that's what we were modeling. So then the differential to, say, the top end of 29%, your guidance, looks really big. It's like a 400-basis-point delta. But on this other line, that's where you purchase those tax credits, and it's a significant $50 million expense I think you said in your script. But I think it's correct that you got to net these two things together to really understand what's going on, on taxation for the company. Did I state those things correctly? And can you maybe give any clarity where I've made a mistake?
Patricia A. Little - The Hershey Co.: Thanks for the question, David. Let me start by just saying that in total on taxes, yes, you're right, the investment tax credits that we've been purchasing for the last couple of years are a driver of our tax improvement, one of the drivers. We have other drivers as well. We continue, as we said, to be very focused on our international operations, improving those. So the mix of international is part of it as well, plus we are doing a good job, I think, of taking advantage of our R&D investments that we're making, things like the new ERP system that Michele answered. So, we have a number of things that we've been focused on in tax, and we're also making sure that the changes that we make are sustainable, and not highly volatile to our tax rate. And, Mark, did you want to clarify anything on the...?
Mark K. Pogharian - The Hershey Co.: Yeah, David, you're right. The other income and expense related to the investment tax credit is there. It's about the same amount in 2017 versus 2016, give or take. And that got you down to that 33-ish, 32-ish range on the tax rate. Some of the other initiatives Patricia talked to, as well as making sure we take advantage of all our legal entity structure is what drives it to where it is now, and that we think you can use going forward.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: One follow-up for me. You guys have mentioned these efficiency initiatives, and then previously you had upgraded, I think you call it the CIP program, your cost savings, continuous improvement program. Can you just give us a rundown of where these numbers stand for what's in your 2017 guidance right now? I think it wasn't so clear. We know they're positive, but can you just run us through the savings that you actually expect to realize in 2017?
Mark K. Pogharian - The Hershey Co.: Yeah. I mean, what we've said to-date, Dave, and we'll obviously give more color on March 1 on this margin for growth program. Our normal productivity program was $50 million to $70 million, and we upped that to about $100 million a year for 2017 through 2019. I think Patricia had mentioned there was about $15 million or $20 million in the fourth quarter we got around this margin for growth program. It'll be probably around that same range around there for 2017, and then we'll provide you with some broader ranges and outlook as it relates to 2018 and 2019 on March 1.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: But the correct characterization is that the $20 million of efficiency that shows up in 2017, it's just a very small part of this much bigger efficiency program that you will reveal to us in March, is that fair?
Patricia A. Little - The Hershey Co.: Yeah.
Michele G. Buck - The Hershey Co.: Yes.
Patricia A. Little - The Hershey Co.: And to be clear, the $20 million was in the fourth quarter. So, we were calling out the pull-ahead that Michele referenced earlier.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Great. Thanks so much. I'll pass it along.
Operator: And our next question is from Rob Moskow with Credit Suisse. Please go ahead.
Robert Moskow - Credit Suisse Securities (USA) LLC: Hi, there. Thank you, and congratulations to everybody. When I was thinking about 2017, one of the bigger savings that I had assumed was in China, because I thought that China's overhead expenses had been built up under the assumption that it was going to be a much bigger business in terms of sales. And it's obviously – the expectations are much different now. So, can you focus a little bit more on what to expect for your overhead and spending in China in 2017? Is there an opportunity in 2017 to reduce that overhead, or is it really 2018 and 2019 when that would happen? Thanks.
Michele G. Buck - The Hershey Co.: Sure. So, we're going to talk more about that in a lot more detail in March. Certainly, we're focused on profitability there. There are certain measures we can take to increase profitability as we go. There are others that take a bit more time. But we'll get into a lot more details on that in March. But it is a focus, for sure.
Robert Moskow - Credit Suisse Securities (USA) LLC: Okay. I'll pass it along.
Operator: And we'll go next to Jonathan Feeney with Consumer Edge Research. Please go ahead.
Jonathan Feeney - Consumer Edge Research LLC: Thanks. And J.P., congratulations, and Michele, look forward to a great run. One question with a couple of parts. I think looking at the gross margin for 2017, there's a couple of pieces, right? You got manufacturing leverage, and you got costs. Now, on the latter, obviously, cocoa prices have declined somewhat precipitously in the fall. You've given any color you can give us about what that means for the P&L, how that typically flows through. And maybe if you don't want to give numbers, fine, but you'll give us a sense of how far you're typically hedged, and how you'd expect to move like that to kind of roll through in any offsets. And on the first part of it, I guess, I would think Cookie Layer Crunch is a positive price mix. And I would think doing more North America than international is also a positive, I say, I mean, gross margin mix. I would think Cookie Layer Crunch is a positive gross margin mix. So, I guess, I'm struggling a little bit. If you're going to grow volume in 2017, is it just that you're going to promote away what would apparently be gross margin lift? Thank you very much.
Michele G. Buck - The Hershey Co.: So, I'll address the first part of the question first. And relative to cocoa, as I mentioned before, we typically hedge 3 months to 24 months out. And so, the cocoa prices aren't going to directly relate what's happening in the cocoa market with the current P&L. So, that's really a longer term impact. Relative to mix, certainly you're right that North America has strong margins. Cookie Layer Crunch we feel good about. We also have some investments we're making in expanding the portfolio to participate more broadly in other snacking occasions, things like Krave and some other snack initiatives that are lower margin than the core very high margins we have in the core confectionery business. And we continue to believe that those are important investments to drive growth for us into the future.
Jonathan Feeney - Consumer Edge Research LLC: Got you. Thank you very much.
Operator: And we'll go next to David Palmer with RBC Capital Markets. Please go ahead.
David Palmer - RBC Capital Markets LLC: Thanks, and congratulations J.P. and Michele. First, a question on the Hershey Cookie Layer Crunch. You said it was having encouraging early results. In the scanner data, it looks like the sales mix was maybe less than 50 basis points in the fourth quarter, but it's been building to over 1% in recent weeks. Do you see that ramping more quickly as the advertising hits? And where do you think distribution can build to from here? And I have a follow-up.
Michele G. Buck - The Hershey Co.: So, yes, I would say, we haven't begun advertising. Advertising is just starting. And so, I would expect that we will see another lift in velocity as we go on air. We did have a strong push as we went into distribution to get merchandising on the floor, to attract consumers to the proposition, but I would expect that we'll see another lift with advertising. And I would expect we're going to have pretty broad distribution. We have a strong focus on getting broad distribution as quickly as we could. But I think if you look at many of our new product launches, I would expect that we'll get to 80%-ish kind of distribution on this one, as we have with most others.
David Palmer - RBC Capital Markets LLC: If I were to have a second question, it's about the Reese's brand. You've kind of kept it simple over the years, and advertised a lot against that brand. And it's perhaps your best power brand and it feels like if there is a way to describe 2017 other than the snackfection and with different mouth feels and different constructs, it could be the year of Reese's, because you have the Reese's Pieces Cups, Reese's Crunchers, Reese's Crunchy Cookie Cup. It seems like the year of the Reese's extension. Is that fair? And do you think that this could be something that you could push on a multi-year basis?
Michele G. Buck - The Hershey Co.: So, first of all, I would agree with what you're saying on Reese. Given that it is our largest $2 billion-ish type of brand, any lift we get on that brand obviously is very meaningful for our P&L. Strong profitability. We feel really good about the lineup of activity we have on Reese. We also feel good that we have done a lot of work to optimize how we're spending our marketing dollars, and we're seeing a lot of benefit from that on the base. I would also say, though, I look at 2017 as a strong year for Hershey, with the focus that we have against that. We always focus on driving our core. So, those big brands with high profit margins critically important for us to deliver the year, Hershey, Reese, Kit Kat, et cetera.
David Palmer - RBC Capital Markets LLC: Thank you.
Operator: We'll go next to Ken Goldman with JPMorgan. Please go ahead.
Joshua A. Levine - JPMorgan Securities LLC: Hey, this is Josh Levine on for Ken. Thanks for the question. Just a quick question. I may have missed this. But just on the Cookie Layer Crunch and Crunchers innovations, have you mentioned how much you expect they sort of be pipeline filled this year versus the replenishment?
Michele G. Buck - The Hershey Co.: No, we haven't talked about that. I don't think that we usually typically go into that. I mean, if you think about the Cookie Layer Crunch, we obviously got off to a strong start in Q4. So, if you look at even the results of takeaway, you can assume that there was a lot of pipeline for Cookie Layer Crunch that came in Q4, and Crunchers is all coming this year because we had no distribution last year.
John P. Bilbrey - The Hershey Co.: Yeah. I mean, we give the volume breakout in North America Josh. So, if you were to look at North America, the volume and subtracted the takeaway, I mean, it's not perfect math, but it would get you to how we thought about it in the fourth quarter in December. Right in line with what we thought.
Joshua A. Levine - JPMorgan Securities LLC: Got it. And just to make sure, I mean, are there any other pipeline fill comps that we should be sort of thinking about as we look at modeling the volume cadence for this year? Thanks.
John P. Bilbrey - The Hershey Co.: So, as we've talked, the first quarter should really drive a lot of the growth. I think if you look at the sales, first half, second half will be quasi similar, although the first half will be driven by the first quarter. We had a lot of, I'll call it, productivity and cost savings in the second half of 2016. So, again, if you were to think of EPS growth probably more first half, first quarter driven.
Patricia A. Little - The Hershey Co.: The other thing you might think about is, because of the way Easter is structured this year, the difference between takeaway and sales, last year with the Easter being earlier there was a disconnect there. You'll see the reverse of that this year.
Joshua A. Levine - JPMorgan Securities LLC: Very much.
Operator: And we can take next David Driscoll with Citi. Please go ahead.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Thanks for taking the follow up. I wanted to ask J.P. and Michele, J.P. you've commented so much on this in the past about the competition in the grocery store and in the perimeter in getting display, and I feel like the characterization last year, I mean, it was so tough, in the first year it was so tough, and now things just feel so much better. Could you just give us some color as to kind of what's changed? I know you put in a little bit more promotion to get more space. But can you just give us more color here on things, because it really feels different today. And I'd like to hear your perspective, and Michele, your perspective on how things have changed. And then is this something that we can feel good about as sustainable that the sales growth in North America and the United States, in particular, is not going to be under as much pressure as we saw, say, back, I remember end of 2015 and beginning of 2016, it was just so tough. Thank you.
John P. Bilbrey - The Hershey Co.: Hey, David, I'll give you a macro comment and then Michele can follow up if she wants. I was at FMI last week. And one of the things that seemed to be pretty broad based across a number of retailers, and as I was hearing comments across manufacturers is that people were optimistic in terms of their plans, and I felt as though people were looking to really invest in their business from a merchandising standpoint and promotion. I'm really speaking about retailers as they were talking to us as well as others. And so, I felt really good that people really wanted to go out and execute against good plans. It didn't feel quite as conservative, I would say, as it did the previous year. So, I just took that as a fairly optimistic tone that people see their destiny as in their hands, and they're going to go execute against their business. And I don't know, Michele, if you want to add to that?
Michele G. Buck - The Hershey Co.: Yeah. I'll add two things. I mean, you specifically asked about merchandising as one part of the question, and I would say, there were some big retailers that implemented cleaner floor policies, and it really took us through mid-last year into Q3 to kind of lap that. And I think once we did we started to see similar momentum there. And I'd also say the other thing I'm encouraged by is, where there has been strong activity in certain categories or with certain brands, there have been strong results. And I look at the high-single digit results we saw on Reese, on Kit Kat, on Ice Breakers this past year, so I feel confident that where we have those we can really drive impact. And I think the results we're seeing on Cookie Layer Crunch speak to that as well.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: So, one follow on then, Michele. The Cookie Layer Crunch, this looks like this could potentially be a $100 million product for you all. We haven't seen that in a while. Do you guys believe you've gotten the innovation machine at Hershey kind of back on track, and then it'll be more consistent than maybe in the last couple years where innovation just fell? I mean, it was, what, 2011 when we had the Reese's Minis, and that was a blockbuster. The Minis franchise was great, but it finally petered out. And now it feels like you're back here with CLC, but can you characterize innovation?
Michele G. Buck - The Hershey Co.: Sure. So, first of all, I'd say, we're very bullish on Cookie Layer Crunch, yet at the same time it's early. So, we need to make sure that we get repeat and see the response to advertising, but we remain optimistic. I do believe that based on our research results that can be a big platform for us. And I also believe, I guess I'd say two things. First, I feel really good about the innovation we have in the pipeline. I think back half of last year, if you look at snack mix, Reese's Pieces Cup, Big Kat, Cookie Layer Crunch and Crunchers this year, I think we really are building momentum there. But at the same time, I'd say innovation is hard, and it's hard to get the homerun. So, we're focused on trying to keep at it, and I feel good about what I see for 2017 into 2018.
David Cristopher Driscoll - Citigroup Global Markets, Inc.: Thank you.
Operator: And we'll also take a follow-up from Matthew Grainger with Morgan Stanley. Please go ahead.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Hi. Good morning, everyone, and congratulations to everyone as well. I guess two questions if there's time, first is a follow-up to Driscoll's question, I guess. But your sales guidance, obviously, incorporates an expectation of stronger contribution from new product innovation than we had this year. And there's also some noteworthy new products activity that's been launched by competitors and probably will be merchandised. So, I'm just curious if you could characterize the sales contribution from innovation in 2017, relative to what you'd expect on a normalized basis going forward? Is this going to be kind of a peak year? And then more generally, the 2% to 3% sales outlook, what kind of improvement in category trends that predicated on?
Michele G. Buck - The Hershey Co.: Yes. So, as we look at the category, based on everything that you've mentioned and certainly those same things that we've seen at industry shows, it looks like it's going to be a big year of innovation for the category. And if we look historically, whenever there's been a lot of innovation in this category, given the variety-seeking nature of consumers, the accessible price points, it tends to be a pretty strong category year. So, as we look at the category, we anticipate that we might see growth around 2% or 2.5%, certainly accelerated growth versus what we saw in 2016. We expect that it would perhaps be more in line with what we saw back in 2014, 2015. So, we think that all of those things are good for the category. And certainly as we look at our business, we like getting a nice chunk of growth from a big innovation. So, we like to see that. It's a big focus within our P&L.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Okay. So, it would be fair to say that you're optimistic about your market share prospects, but your 2017 guidance doesn't necessarily embed a level of certainty around market share gains, if you expect the category to improve?
Michele G. Buck - The Hershey Co.: I'd say, that we would expect that we'll see some gain in market share. I think at the same time, we try and be realistic about where the overall macro environment looks like, and some of the volatility that we've seen in the marketplace, it's harder to predict than it's been in the past.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Okay. Thanks. And, Patricia, just a quick one on barkTHINS. I think there is still some amortization headwinds in 2017 that will result in dilution there. But, as you ramp up investment and some of the amortization subsides, what are you expecting in terms of lower dilution or improved earnings contribution on that business?
Patricia A. Little - The Hershey Co.: Yeah. Thanks. You're right. We do have the amortization of barkTHINS. We had some of it in 2016, we'll have it in 2017. Overall, we're really pleased with the way that integration is growing. We've been particularly doing well with the synergy part of it, the supply chain savings is becoming greater than we expected. So, we feel really good about that acquisition.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Okay. Thanks, everyone.
Operator: And we will take our last question from Robert Moskow with Credit Suisse. Please go ahead.
Robert Moskow - Credit Suisse Securities (USA) LLC: Hi. I don't know if I'm jumping ahead of others in the queue, but I would like to know about all these IT investments that need to be made. Can you talk a little bit about – do you think that you fell behind your peers in terms of IT investments? Like, why is all of this happening now? And how do you think it will help you improve marketplace performance?
Michele G. Buck - The Hershey Co.: I'd look at the opportunity that's in front of all of us right now of what data and analytics and technology can enable. And as we've talked about before, we've always believed that that's critically important in our business, the knowledge that we have has an advantage. And so, we're very focused on looking at all the applications of data that can create competitive advantage in the marketplace. And we believe that needs to be a big focus of ours. So, we really are focused on that right now.
Robert Moskow - Credit Suisse Securities (USA) LLC: And can I assume that that goes into corporate expense? And if so, will corporate expense be higher in 2017?
John P. Bilbrey - The Hershey Co.: Well, Rob, we'll talk to a lot of this on March 1, especially some more detail around what some of these IT investments are at the business level, to ensure people are working most efficiently as possible, as well as at the corporate level. So, I think you're going to see a little bit of both. I don't want to get out ahead of ourselves on March 1 here, but there's a lot of things in the market changing very faster than they ever have before, and we're trying to bring solutions to retailers and be where the customer is going. So, I think you'll see more of this on March 1.
Michele G. Buck - The Hershey Co.: Yeah. We'll share some specific examples.
Robert Moskow - Credit Suisse Securities (USA) LLC: Thank you.
Patricia A. Little - The Hershey Co.: Thanks.
Mark K. Pogharian - The Hershey Co.: All right, operator. We'll end the call here. We thank everybody for their participation, and we'll be available for any follow-up calls that you may have. Thank you.
Operator: And this will conclude today's program. Thanks for your participation. You may now disconnect.